Operator: Hello, and thank you for standing by. My name is Lacey, and I will be your conference operator today. At this time, I would like to welcome everyone to the NexPoint Residential Trust Third Quarter 202 Earnings Call. [Operator Instructions] Thank you. I would now like to turn the conference over to Kristen Griffith, Investor Relations. You may begin.
Kristen Thomas: Thank you. Good day, everyone, and welcome to NexPoint Residential Trust's conference call to review the company's results for the third quarter ended September 30, 2025. On the call today are Paul Richards, Executive Vice President and Chief Financial Officer; Matt McGraner, Executive Vice President and Chief Investment Officer; and Bonner McDermett, Vice President, Asset and Investment Management. As a reminder, this call is being webcast through the company's website at nxrt.nexpoint.com. Before we begin, I would like to remind everyone that this conference call contains forward-looking statements within the meanings of the Private Securities Litigation Reform Act of 1995 that are based on management's current expectations, assumptions and beliefs. Listeners should not place undue reliance on any forward-looking statements and are encouraged to review the company's most recent annual report on Form 10-K and the company's other filings with the SEC for a more complete discussion of risks and other factors that could affect any forward-looking statements. The statements made during this conference call speak only as of today's date, and except as required by law, NXRT does not undertake any obligation to publicly update or revise any forward-looking statements. This conference call also includes an analysis of non-GAAP financial measures. For a more complete discussion of these non-GAAP financial measures, see the company's earnings release that was filed earlier today. I would now like to turn the call over to Paul Richards. Please go ahead, Paul.
Paul Richards: Thank you, Kristen, and welcome, everyone, joining us this morning. We appreciate your time. I'll kick off the call and cover our Q3 results, updated NAV and guidance outlook for the year. I will then turn it over to Matt to discuss specifics on the leasing environment and metrics driving our performance and guidance. Results for Q3 are as follows: Net loss for the third quarter was $7.8 million or a loss of $0.31 per diluted share on total revenues of $62.8 million. The $7.8 million net loss for the quarter compares to a net loss of $8.9 million or $0.35 loss per diluted share for the same period in 2024 on total revenue of $64.1 million. For the third quarter of 2025, NOI was $38.8 million on 35 properties compared to $38.1 million for the third quarter of 2024 on 36 properties. For the quarter, same-store rent and occupancy decreased 0.3% and 1.3%, respectively. This, coupled with a decrease in same-store revenues of 0.6% and same-store expenses of 6.2% led to an increase in same-store NOI of 3.5% as compared to Q3 2024. As compared to Q2 2025, rents for Q3 2025 on the same-store portfolio were down 0.2% or $3. We reported Q3 core FFO of $17.7 million or $0.70 per diluted share compared to $0.69 per diluted share in Q3 2024. During the third quarter, for the properties in the portfolio, we completed 365 full and partial upgrades, leased 297 upgraded units, achieving an average monthly rent premium of $72 and a 20.1% return on investment. Since inception, NXRT has completed installation of 9,478 full and partial upgrades, 4,925 kitchen and laundry appliances and 11,389 tech packages, resulting in $161, $50 and $43 average monthly rental increase per unit and 20.8%, 64% and 37.2% return on investment, respectively. NXRT paid a third quarter dividend of $0.51 per share of common stock on September 30, 2025. For Q3, our dividend was 1.37x covered by core FFO with a 73.2% payout ratio of core FFO. On October 27, 2025, the company's Board approved a quarterly dividend of $0.53 per share, a 3.9% increase from the previous dividend per share payable on December 31, 2025, to stockholders of record on December 15, 2025. Since inception, NXRT has increased the dividend per share by 157.3%. Turning to the details of our updated NAV estimate. Based on our current estimate of cap rates in our market and forward NOI, we are reporting a NAV range per share as follows: $43.40 on the low end, $56.24 on the high end and $49.82 at the midpoint. These are based on average cap rates ranging from 5.25% on the low end and 5.75% on the high end, which remained stable quarter-over-quarter. Turning to full year 2025 guidance. NXRT is reaffirming guidance midpoints for loss per diluted share, core FFO per diluted share, same-store rental income, same-store total revenues, same-store total expenses and same-store NOI and tightening guidance ranges for acquisitions and dispositions. Loss per share core FFO ranges are as follows: loss per diluted share of negative $1.22 at the high end, negative $1.40 at the low end, with the midpoint of negative $1.31 and for core FFO per diluted share, $2.84 at the high end, $2.66 at the low end with affirming the midpoint of $2.75. This completes my prepared remarks, so I'll now turn it over to Matt for commentary on the portfolio.
Matthew McGraner: Thank you, Paul. Let me start by going over our third quarter same-store operational results. Same-store total revenue was down 60 basis points, albeit with 5 of our 10 markets averaging at least 1% growth, with Atlanta and South Florida leading the way at a positive 2.8% each. We are also pleased to report continued moderation in expense growth for the quarter. Third quarter same-store operating expenses were down an impressive 6.3% year-over-year. Payroll and R&M declined 7.5% and 6.1%, respectively, with year-over-year and total controllable expenses down a meaningful 6%. Insurance was also favorable by 19%, driven by the team's efforts here and market improvement on the property casualty side. Real estate taxes also decreased 8.7% due to favorable protest outcomes, most notably in our Nashville portfolio. Third quarter same-store NOI growth continues to improve in our markets with the portfolio averaging a positive 3.5%. A markable improvement from down 1.1% last quarter. 7 of our 10 markets achieved year-over-year NOI growth of at least 2.5% or greater with Nashville and Atlanta leading the way at 26% and 7.8% growth, respectively. Our Q3 same-store NOI margin registered a healthy 62.2%. The portfolio experienced improved revenue growth also in Q3, with 5 out of our 10 markets achieving growth of at least 1% or better. Our top 5 markets were Atlanta and South Florida at 2.8%, Tampa at 2.4%, Raleigh at 2.1% and Charlotte at 1%. Renewal conversions for eligible tenants were 63.6% for the quarter, with all 10 markets executing positive renewal rate growth of at least 75 basis points or better. 646 renewals were signed during the quarter at an average of 1.81%. On the occupancy front, the portfolio registered a 93.6% occupancy as of the close of the quarter. Market competition from lease-up assets on down the spectrum remain our biggest challenge, but clear skies are forming ahead. As of this morning, our portfolio is 93.6% occupied and 95.8% leased with a healthy trend -- 60-day trend of 92%. Even though we saw elevated pressures to occupancy and concession utilization, top line rent beat our internal forecast by 20 basis points for the quarter and bad debt continues to stabilize with a meaningful 32% year-over-year improvement for the quarter. Again, on expenses, they continue to moderate and finished the quarter down 6.4%. Payroll declined 7.6% this quarter and continues to trend downward as we implement centralized teams and AI technology. Our centralized platforms for renewals, screening, call centers, alongside AI applications deployed across various aspects of the resident experience are all driving greater efficiency and enabling reductions in on-site staffing, particularly within the leasing offices. As mentioned previously, we are now focused on optimizing our maintenance operations to drive similar efficiencies across our markets. Insurance, real estate taxes, R&M and G&A were the other categories that saw meaningful year-over-year improvement for the quarter with all categories improving at least 6% or more. Now turning to our updated view on supply. We believe we're close to the end of a record national new multifamily supply cycle. CoStar sees annual net deliveries having peaked at 695,000 units in the trailing 12-month period ending Q3 2024 and Q4 2024. This compares to annual net delivered units of 351,000 on average in the prior 5 years that prior 5 years being Q3 '14 through Q3 '19 and 282,000 units on average since 2001. CoStar forecast net deliveries reached 697,000 units in 2024 and expected to be 508,000 units in 2025 before falling significantly year-over-year in 2026 by 49% and 2027 by an additional 20%, a critical Q3 for deliveries followed by a steeper drop-off. For Q3 of 2025, deliveries are 17% down quarter-over-quarter and is the last quarter with more than 100,000 units delivered. An increased expectation for 3Q '25 deliveries is followed by a significant drop-off to Q4 2025 deliveries that is now forecasted at just 69,000 units, down 52% year-over-year and 41% quarter-over-quarter. This ushers in the start of the lengthy period where deliveries are expected to be below the long-run average and more bullish long-term forecast versus prior years. 2027 and 2028 delivery forecasts have also fallen. CoStar now expects 2027 deliveries of 234 units that compares to forecast from December of last year of 283,000 units and 231,000 units for 2028 that compares to prior forecast of 308,000 units. That's down 27%. On the whole, cautious optimism best fits our rental market outlook. Looking better in places still challenged, but we have come to the time where market fundamentals are coalescing to support a more bullish outlook for multifamily. We expect the rental market will take the lion's share of new household formation and outperform the for-sale market on the near term. While some markets still have supply issues, particularly in our fast-growing Sunbelt markets, demand is still there. We're absorbing units at a very strong clip right now, and part of that is due to the affordability challenge in the for-sale market. It's about twice as expensive on a monthly basis to own a home as it is to rent at the average apartment in the U.S. During the quarter, the team re-underwrote each of our assets as if we were to buy them new today with a particular view on the submarket competition for lease-ups. We tried to estimate based on historical lease-up trends when each of our submarkets that have supply pressures would indeed stabilize. We define submarket stabilization as 92% occupied with new construction deals being at least 70% leased. Our analysis showed that 5 of our 10 markets should stabilize in the first quarter, 6 of the 10 in the second and 8 of the 10 in the third quarter of next year with all markets stabilizing by year-end. Indeed, this could happen sooner as NXRT markets are littered with major job and corporate relocation announcements almost daily across finance, technology, defense, logistics, manufacturing and research. Billions of capital and thousands of jobs across names such as Align Data Centers, AllianceBernstein, Apple, Bell Textron, Fujifilm, Goldman, Intel, Microsoft, Oracle, TSMC, Wells Fargo have all hit our markets in the past 6 months alone. Again, more reason for cautious optimism. On the transaction front, buyer sentiment for multifamily purchasing continues to improve in Q3 according to CBRE and our own experiences. Institutional investor allocations to real estate are expected to tick up to 10.8% in 2026 according to Institutional real estate allocations monitor. Firms like Blackstone remain bullish on commercial real estate investments given muted supply growth and lower cost of capital in the form of lower rates and tightening spreads. Indeed, Blackstone, in particular, believes we're now approaching a steeper point in the price recovery, and we share that view. We continue to actively monitor the sales market for opportunities and stay close to any movements on cap rates in our markets. Many investors remain sideline, but we see opportunity to return to the market as fundamentals improve. We're expecting to recycle capital in the next couple of quarters against this transaction backdrop and are excited to announce that NXRT has been awarded the opportunity to acquire a 321-unit multifamily community in the high-growth suburbs of Northern Las Vegas. This asset features a unit mix focused on 2- and 3-bedroom floor plans ideal for young families and roommate situations. Recent large-scale developments have driven significant expansion, job growth and residential revitalization in North Las Vegas, which is now the Las Vegas Valley's most prominent industrial market. Nearby, over 15 million square feet of industrial space is currently under construction or planned, supporting the creation of approximately 8,000 jobs in this submarket alone. We have evaluated this asset to be structurally sound, well located and prime for value-add execution that is the best we have underwritten all year. We believe the asset has potential to generate a 7% same-store NOI CAGR over the next 5 years. Our plan will be to acquire the asset in late Q4, utilizing available capacity on the facility. And then we expect to execute one or more sales transactions in the first half of 2026, utilizing tax-efficient 1031 reverse exchange mechanics, thereby initiating our capital recycling growth strategies as we head into 2026. We expect this strategy to modestly be accretive for 2026 while yielding stronger core FFO growth throughout the 2027 to 2030 period. Capital recycling to generate growth is our primary external objective, selling mature assets with limited potential into newer growth, nicer and higher growth assets within our familiar market geographies. Transforming the portfolio and unlocking gains for tax-efficient capital recycling into high conviction assets to grow NOI at an outsized rate is consistent with the company's historic execution. We expect to continue scouring the market for the best opportunities, but we will absolutely prioritize stock buybacks as well in the low 30s over the near term. To summarize and reiterate a couple of points. On the macro outlook, we see the market signaling a steeper recovery ahead. On operations, revenue is moderating but at a decelerating pace, and we continue to demonstrate strong expense control driven by R&M, labor and insurance. We have stabilized bad debt and view the financial health of our tenant demographic is quite strong and resilient to market pressures. We have full conviction we can hit our same-store guidance expectations, and we are positioned for improved performance heading into 2026. On the balance sheet, we're cognizant of the swap maturity overhang on our earnings forecast, and we continue to monitor that daily for opportunities. We expect to act in replacing the swap book over the near term and certainty before any expirations. And on our path to growth, we see green lights ahead as it relates to our capital recycling strategy. Good deals are available. We are confident in our ability to underwrite, capitalize and execute on them, and our team will be heavily focused on doing just that heading into 2026 as well as, again, importantly, buying back stock in the low 30s. In closing, in the near term, we will continue to prioritize a balanced approach, driving occupancy, maintaining disciplined rent strategies, managing controllable expenses to support steady NOI growth while we look to accelerate our capital recycling strategy and portfolio transformation to drive external growth as conditions on the field are set to improve. Looking ahead, we are confident in the long-term fundamentals of our Sunbelt positioned workforce housing assets, which we see to be well positioned to outperform other geographies given our favorable trends in population migration, job creation and wage growth. That's all I have for prepared remarks. I appreciate our team's work here at NexPoint and BH for continuing to execute. And that concludes our prepared remarks. So at this time, I'll turn it back over to the operator and open up the call for questions.
Operator: Your first question comes from the line of Omotayo Okusanya with Deutsche Bank.
Omotayo Okusanya: On the operating expense side, again, things look like they're going really well. Could you just talk a little bit about if that is going to be sustainable on a going-forward basis? And I just asked that in the context of full year guidance, where the midpoint of guidance suggests that FFO growth in -- or FFO in the fourth quarter will be $0.61 versus your current $0.70 run rate, which is being helped by better-than-expected expense control.
Matthew McGraner: Yes. I think the -- there's a couple of categories that [ tries ] us back. We think that we'll have continued improvement in sustainability on the noncontrollable side with insurance. We also feel good about the real estate tax protests that are going on and see potential upside in that number. On the payroll and R&M side, we don't see anything changing materially and expect that to be consistent as well. For what it implies for core, I think we're cautiously optimistic that we'll exceed expectations as usual. And that's -- we're doing everything we can to beat on the expense side in the face of these supply pressures. I don't know, Bonner, if you have anything to add to that?
Bonner McDermett: Yes. I would just add, I think on the real estate taxes, we received one pretty significant settlement that's kind of one time in Q3. So that's not necessarily the run rate for taxes there, but it does. If you'll remember, Nashville is on a 4-year revaluation cycle. So we fight this battle every 4 years that occurred last year. We've been in the process of litigating those. We've got court dates on a couple of the other deals, but we don't expect to see any dramatic shift there. So some of the real estate tax savings that you see in the quarter is more onetime in nature. But I agree with Matt, particularly on payroll and repair and maintenance expenses, those are heavy focuses for us controlling. So I do think that we can continue at least through the first quarter on the payroll run rate. We've made the strategic initiatives to centralize a lot of the operations. So most of that activity on the P&L hit kind of April 1 and going forward.
Omotayo Okusanya: Got you. Can you quantify that onetime benefit in 3Q? How much that was?
Bonner McDermett: Yes. The total there was about $820,000.
Omotayo Okusanya: Got you. Okay. That's helpful. Then my second question is, again, your self-disclosed NAV, again, you guys -- whether you're at the low end or the high end, depending on the cap rate you're using, I mean the stock has been persistently trading at this kind of huge discount to NAV. And I guess when you guys look at that over a long-term period, if that gap is not necessarily made up over time, how do you kind of think about kind of what next for NXRT and how you try to create shareholder value if you just kind of get assigned this perpetual large discount to NAV, granted a lot of the sector is already trading that way. So this is not unique to you, but just curious how you're thinking about that.
Matthew McGraner: Yes. Look, we've been very clear since we became public in 2015 that we view the company as a growth company. But we also -- I mean, we also have the company set up to transact as well with floating rate debt. Our goal is to hit $170 million of NOI by 2027. It's that simple. And the terminal value, at least in our mind, will always be there. We think that the portfolio is hard to replace and scale. We think we have the best job -- best exposure to the highest job growth markets. And we have -- we believe that if the discount isn't closed, then we'll close it. We own 16.5% of the company. We're highly aligned to do so. And what we absolutely know is that even in a muted transaction environment, there's still a bid for multifamily. The transaction market is still kind of a 5 cap market and especially for assets like ours. So while the public markets are discounting multifamily stocks, we think that, that will change dramatically in 2026 as new lease pricing inflects. I think that's going to be the catalyst of it. I see that happening in the second quarter probably of 2026. And I think our stock will start to perform into that bid of new lease growth. But if it doesn't, we're confident that there is a terminal value and a bid for the company. We know that for sure. So we'd like to continue to grow the earnings stream and think we can. But if not, there's a bid there.
Operator: Your next question comes from the line of Buck Horne with Raymond James.
Buck Horne: I apologize. Did you guys give out the splits on new lease rates, renewals and the blend for the quarter?
Matthew McGraner: No, we did in the supplement, but we'll update it for you. The new -- for the quarter, new leases were down 4.06% or $58. Renewals were up 1.94% or $29, almost $30. That's a blended negative 44 basis points.
Buck Horne: Got it. Appreciate that. And by the way October?
Matthew McGraner: October is kind of trending the same way.
Buck Horne: I got it right here.
Matthew McGraner: New leases were down 3.78% or $54. Renewals were up about 70 basis points or $10 for a blended down 1%.
Buck Horne: Perfect. You already beat me to my next question. I appreciate that. Step ahead of me. I want to also touch a little bit on the CapEx spend, just kind of the maintenance CapEx, both recurring, nonrecurring, I think it added to about $9 million in the quarter. Do you see that starting to taper off anytime soon? Or is that kind of the run rate that you expect the portfolio to be on for at least a few more quarters?
Matthew McGraner: Yes. I mean I think we're -- it's a little bit elevated. And the reasons for that is because we haven't been able to recycle as much of the portfolio as we typically do. So there is a little bit of more maintenance CapEx going into it. Bonner, do you have anything to add to that?
Bonner McDermett: Yes. I'd also say if you're referencing Page 22 of the supplement, you'll see the interior spend is up, particularly in the third quarter. That's up, but it's also up on a smaller dollar improvement. So our market upgrade program where we're not doing the full enchilada of premium upgrades with hard surface counters and things like that. We're focused more on kind of that on average, it was about $4,000 upgrade. So to some units that we touched in the past or needed some help to be competitive. We're spending about $4,000. We're getting a $70 premium. So it's not quite the historical run rate for spend on interiors, but we're still getting to that kind of 20% annual return. So we think that, that makes sense short term while pricing is under pressure. And then we -- I think we referenced this on the last call, the large refinancings that we did with Freddie Mac, we got new property condition assessments, those kind of dictated some larger nonrecurring CapEx spends, some milling and paving of drive lanes, some siding repairs, some roofs. We're also doing -- we're redoing a pool in Raleigh. So we've got some, I would say, larger projects this year. I think we're more focused on streamlining that spend going into next year.
Matthew McGraner: And those are more onetime in nature anyway, so it should moderate.
Buck Horne: Perfect. That's great color. I appreciate that. And again, congrats and great job on controlling the expenses in this environment, a lot of progress there. I think I want to go back to Omotayo's question about capital allocation and just thinking about the NAV discount. But I guess the question really is why go after a new asset in Vegas at this point when you could buy the existing portfolio probably at an equal or better kind of combined NOI yield and growth rate going forward? Just kind of what's the -- help us walk through the rationale of why buy an asset right now when you can buy the existing portfolio?
Matthew McGraner: Yes. I think -- I don't think they're mutually exclusive. I think we can do both. As I said, I think over the near term, until we close on this deal, we're going to aggressively buy back stock given where the capital is. But our view also is we do need to show some external growth in terms of capital recycling. We're not going to be net acquirers, so to speak. So we're not going to just go out and buy willy-nilly. The difference with this deal is, given the situation of the asset, it's basically going in almost a 6 cap that we believe we can drive to a 7.5% or an 8% cap over the course of our 3-year value-add campaign. And those opportunities don't really exist on a large scale. This is a very precision-based investment. And I don't think it cannibalizes anything we're doing on a stock buyback program. Our free cash flow yield is still strong. And I mean, I meant what I said when we're trying to hit $170 million of NOI in 2027 by the end of that year. I think that that's possible. And if we do that and we apply the terminal cap rate, I think we'll all be very happy.
Operator: This concludes today's question-and-answer session. I would now like to turn it back over to the management team for closing remarks.
Matthew McGraner: Thank you very much for everyone's participation today and look forward to speaking to you all live in December at NAREIT. Thanks again.
Operator: This concludes today's call. You may now disconnect.